Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to Wendel's Full Year 2025 Results Conference Call and Webcast. [Operator Instructions] Olivier Allot, Director of Financial Communication and Data Intelligence will read them. I must advise you that this conference is being recorded today. I would now like to hand the conference over to Mr. David Darmon, member of the Supervisory Board and Deputy CEO. Please go ahead, sir.
David Darmon: Thank you, and good morning, everyone, for this 2025 full year results presentation. As always, we're going to make this presentation with several speakers today, including Jérôme Michiels, Benoit Drillaud, Cyril Marie and later, Laurent Mignon. So to start, let me comment the Slide #4 in the presentation, which is a recap of the 2030 ambitions that we present to you in last December. We showed you that we have a pretty ambitious portfolio rotation plan and the capital allocation plan. We do intend to get EUR 7 billion of committed cash flows through 2030 through asset rotation and FRE generation and to reinvest this amount and returning EUR 1.6 billion to the shareholders in the meantime. We also announced to you back in December some good organic growth target with a 15% growth organically for the asset management platform. And we mentioned to you that we intend to create value in the portfolio investment of our principal investment from 12% to 16% per annum with the new mandate that we have given to the IK Partners team, and we'll get back to that later in the presentation. So this is the background on which we are all working at Wendel, and I will give you more details on what we achieved in 2025 and in early 2026 to achieve those ambitions. I'm moving now to Page #5. And as you can see in 2025, we made progress on our 2 legs, I will start with the asset management, where you can see that the platform really ramped up in 2025. We did close the acquisition of Monroe Capital in March 2025. The 2 platforms that we had during the years, Monroe Capital and IK Partners had a very successful fundraising cycle. They both raised a combined EUR 11 billion in a market which you know was not so easy. In 2025, we also signed the acquisition of Committed Advisors. We announced the signing in October 2025, and we do intend to close this acquisition end of Q1 2026. We believe that we now have a platform at scale, we manage close to EUR 47 billion of assets under management, including pro forma creation of Committed Advisors. And we have a target for the year of over EUR 200 million of fee-related earnings with this platform. So in less than 3 years, you can see that we have built something of scale and pretty attractive and pretty unique. Now talking about the principal investments. 2025 was also a year of transformation. We've been very active in the portfolio. We are going to come back on the various divestitures that we made recently, the various bolt-on we did in the portfolio and the change in management that has happened. But the most important information is probably this IK Partners advisory mandate that I mentioned earlier, which is changing significantly the way we operate, and we believe it is going to create much more value in the future, but I will get back to that later in the presentation. Turning on Page 6. You can see that we had a pretty busy early 2026 with the announcements of the disposals of both Stahl and IHS. Those are investments that we had in the portfolio for quite a long time. You remember that we initially invested in Stahl in 2006. IHS was a 2013 investment. So they've been in the portfolio for quite a long time. And we're happy that in this pretty tough market, we managed to secure those liquidity options. For Stahl, we signed an acquisition with Henkel, and I will give more details later on. And with IHS, we did support the tender offer that MTN announced a couple of weeks ago. Those 2 divestitures should bring EUR 1.65 billion of proceeds for Wendel, so it's pretty significant. You will see later on that, that takes our leverage down quite significantly. So it brings us some strong capability to execute on our shareholder returns policy and also to deploy capital towards the both legs, I mentioned earlier, WPI and WIM. So those sales are pretty important in that we're going to execute our strategy. Moving to Slide 7 and a few numbers on our 2025 results. First, you can see on the left side of this slide for Wendel Investment Managers, some pretty strong growth. There is organic growth. You see the plus 13% organic growth in fee-paying AUM. And obviously, with the consolidation of Monroe Capital over the period, which we didn't have in 2024, we also have a scope effect. And so the increase of 200% is due to this scope change. But beyond the M&A, you can see that organically, the platforms are growing very, very nicely. On the right side, you can see that Wendel Principal Investments today account for over EUR 5.5 billion of gross asset value. It's growing with a positive impact of listed assets and which as of today is mainly -- is going to be mainly Bureau Veritas because we secured the public to private in December for Tarkett. And as I mentioned earlier, IHS should not be in this bucket by the end of 2026. The unlisted assets have been impacted by the market multiples, and I'll come back to that later on. We did value in those numbers and in 2025 Stahl at the Henkel offer price. We did not take into account the -- our share of cash flow between signing and closing, which are due to be paid to us. But as this amount is quite uncertain at this stage, we cautiously ignore this amount in our NAV. IHS is valued at the average share price in -- before the year-end and not at the MTN offer price. So we published a NAV per share of EUR 164.20 as of December 31, 2025, which is up 0.7% over the previous quarter and up 1.17% if you include the interim dividend that we paid in Q4 last year. I'm coming back to -- I'm moving now to Slide 8 and coming back to the performance over the last quarter of this fully diluted NAV, which has been growing 1.7%, as I mentioned, so EUR 2.7. So how did we grow this NAV? First, we had a negative impact on the investment manager side, the asset management part. We had some negative impact from the market multiples of our peers despite the positive growth of the aggregates that I mentioned earlier. The Wendel Principal Investments saw some growth in terms of NAV per share, EUR 4.9. This is obviously mainly Stahl because we sold Stahl above our NAV value, and I will get back to that later on. We -- as I mentioned, IHS was valued at the share price as of December 31. And last Tarkett is now in our bucket of private assets and not anymore in our listed assets bucket. You can see that the ForEx has been negligible over this quarter, which is very different from the first 3 quarters of 2025, where the impact was pretty strong in Q4, it was pretty remote. So plus EUR 2.7 over the quarter, fully diluted and plus EUR 1.2 when you take into account the interim dividend that we introduced last year, and we paid in November '25, EUR 1.5, which has already been paid to our shareholders. I'm moving now to Page 9 and give you a bit more details on the 2 earlier divestitures I mentioned, namely Stahl and IHS. The sale of Stahl is going to bring $1.2 billion of net proceeds to Wendel and the expected tender offer on IHS should bring $575 million for the shares that we own in IHS. The combined proceeds from those 2 divestitures should bring our pro forma loan-to-value under 10%. We should also note that this EUR 1.6 billion of proceeds account for over 27% of the portfolio rotation that we announced just a few weeks ago. So quite a strong start on this program. I'm moving now to Page 10 to give you a bit more insight on the return to shareholders. We do intend to distribute around EUR 500 million to our -- sorry, to return EUR 500 million to our shareholders, both through dividends and through buyback. In terms of dividends, we are raising our 2025 dividend to EUR 5.10, up 8.5% compared to last year. As we already paid an interim dividend in November, the additional dividend to be paid in May 2026 is going to be EUR 3.6. Those combined amounts of EUR 5.10 compared to the current share price generate a yield of 5.8% based on the spot price of February 25. So a strong dividend policy and yield, combined with the share buyback program that we mentioned end of December that we are going to launch, which is going to be around EUR 340 million in terms of size that we're going to return to shareholders. So above -- around EUR 0.5 billion to be returned to our shareholders during this year. I'm going to turn now the mic to Cyril Marie to present to you the development for the Wendel Investment Managers division.
Cyril Marie: Thank you, David. So I will not comment on Page 12 because the key highlights have been presented by David already. Let's move directly to Page 13 where you have the roll forward of the assets under management. So here in this chart, you have at the extreme left and right, the AUM. As you know, the way we monitor our activity, we have the AUM and the fee-paying AUM. So let's start with the AUM. In '24, as David said, we had only IK with EUR 13.8 billion of AUM composed of the NAV of our fund plus the dry powder or the money available for new investment and the co-investment. Now at the end of '25, we are at EUR 41.2 billion. So it's EUR 15 billion for IK, plus 11% and $30 billion for Monroe, up 22%, which is, I think, a strong achievement in the current environment. And in the AUM, the last information is that the Wendel Sponsor money represents EUR 500 million. So it's around 1% of the total AUM. I think it's an important information. In the middle of this chart, what you have is the dynamic of the fee-paying AUM. So it means that the fees that are paying AUM that will have an impact in '25 on our P&L. So we started the year at EUR 10 billion. Then we had the impact of Monroe. But then what is very important is the EUR 9.2 billion and the minus EUR 5.2 billion. With this, you have the new fee-paying AUM. So for IK, it's the money raised over the year, so EUR 1.3 billion and the money invested because it's not the same business model for our 2 important GP, IK and Monroe, so close to EUR 8 billion for Monroe. So with that, you have the new fee-paying AUM. And then you have the exit and the payoff so because you know what is very important for these LPs also is to return capital. So if you sum the EUR 9.2 billion and the minus EUR 5.2 billion you get the 13%, and we believe it's a good indicator of the organic evolution of our business for '25. Then let's go on the following page, Page 14. Here, the idea is to give you really the more detail on the evolution of our business with 2 things: growth -- organic growth and two, diversification. I think that are the 2 key messages here. So let's start with private equity, IK Partners. In terms of fundraising first, it was the last part of their fundraising vintage started in '23, '24. As you know, already, they have reached the up cap in all their strategies, the mid-cap, the small cap, the partnership fund. And so the fundraising was at the beginning of '25 for EUR 1.3 billion. Now their priority is to invest the money raise and also to return capital to shareholders. In '25, it was a good year. As you can see, as always, they have returned more capital than they have invested for the LPs. It's very important. The dynamic of AUM plus 11% in '25. What is also very important for us is to maintain the organic growth of the businesses. And I will present to you later on that we have reached the target in terms of FRE. But despite this, we are still investing in the business and the FTE have grown by 8% because in private equity, as you know, it's very important to have local team to understand the businesses, to invest in the operating partner. So we maintain a high level of investment in order to pursue the growth of the business. Another very important point for IK, it's the development of the retail. As you know, in the development of a private asset platform, the retail is a new engine of growth for us, and it's still ahead of us. And we are -- we have now created the first evergreen vehicle for IK called IK Private Equity Solutions. It's now available for subscription. So if you want, you can get it through all the life insurance platform. '26 for private equity priority. Now the revenue are secured because we have raised the money. I think the priority is now to deploy and to return capital to shareholders. We have a strong ambition for '26. And also, we want to pursue the implementation of IK. As you know, IK is a pan-European private equity manager. They are very close to each of their markets. They have 7 implementation, and they have in mind to open a new office in Spain in '26. I think it's very important in order to maintain the quality of the deal flows for our LPs. So that's for private equity. Private credit, here also a very strong organic dynamic. Equity raised EUR 3.8 billion. As you know, post acquisition, it's always very important to see how the LPs will react and the signal was very positive with a lot of free-up, we have maintained the client base, and it's very positive for Monroe Capital. They have raised capital also with their retail evergreen vehicles during the year '25. And if we talk about the first 2 months of '26, the flows remain positive. So we are still gathering money on our retail evergreen vehicle for Monroe. Deployment, money invested EUR 8.3 billion, a very high level of investment. It's a record year for them. They remain relatively selective in terms of deployment. If you look at all the key KPIs of the private credit, LTV, leverage, diversification, Monroe is very well positioned. And also, if we -- just to give you one figure, if we look at the performance of the underlying companies of Monroe, the growth of the EBITDA is 12%. So private credit remains a very good asset class. And it's with Monroe, they invest, as you know, they lend money mainly to small and mid companies in the U.S. and the U.S. economy is still very strong. AUM grew 22%. Here, the same message regarding the workforce. We are still investing in the business to reinforce the diversification. And the last comment on Monroe, probably '26, 2 important message. The first one, we want to develop organically Monroe in Europe. So we are working on it. We hope to be in a position to execute something in '26. And also, we are pursuing the diversification with the launch of new strategies and evergreen strategies for Monroe Capital. Last strategy for us, even if it's not closed so far, as David said, it's Committed Advisors. We expect to close it in Q1 '26. They have started the new round of fundraising with their Vintage VI, and I can tell you the dynamic is very positive. The feedback from clients is positive. The cornerstone investors are there. So the dynamic is very good, and we hope that it will contribute to our growth in '26. Now if we turn to profitability, we have 2 slides. The first one, Page 15, it's the actual profitability. So here, you have, as David said, a very important scope effect because last year, you had only 8 months of IK in '24 and in '25, you have 12 months of IK and only 9 months of Monroe. So you have -- the growth rates are very high, 177% for the revenues, 150% for the profitability. What is important is to show you here that the profit contribution to Wendel is increasing significantly, and it shows you the execution of the strategy. But what is more important probably is to go to the next page on Page 16, just to have a more analytic view of the P&L. So let's take the second column, the pro forma. What pro forma means here? It's 12 months of IK and 12 months of Monroe. And for that, so if you look at the first line, the revenues, the recurring revenues, so excluding carrying interest, the revenues tied to the FRE. So above EUR 400 million for EUR 30 billion of fee-paying AUM on average, it means an average fee rate of 135 basis points. I think it's a very good level with our mix of business as of today. So IK is closer to 180 and Monroe remains above 100 basis points because, as you know, Monroe is really focused on Alpha. So they are not chasing AUM. The idea is really to focus on fees and performance for the LPs. Then the second indicator I would like to comment here is the margin, 38%. So it's a good margin because it's a good balance between our objective of profitability. But at the same time, we maintain investment in the business in order to have a sustainable growth. And the last comment on this slide for me is the EUR 159 million. When we have announced the Monroe acquisition last year in October '24, we gave you this objective of EUR 160 million. We have reached this objective despite the dollar effect. It means that IK and Monroe have been in a position to compensate the negative dollar effect. And we are today able to announce you that we have reached this target for the full 25 years. Then last page, so '26, it's a summary of what we said previously with David. So the organic growth is there. We have now also Committed Advisors part of the platform. We have reached EUR 47 billion. As said in December, we have a good level of diversification in terms of clients, geographic areas and products. So we can maintain this pace of growth. And as you can see, it will have a significant impact also in terms of FRE growth because we have in mind to reach EUR 200 million for '26.
David Darmon: Thank you, Cyril. Now I'm going to turn to Slide 19 to talk about the activity during 2025 in our Wendel Principal Investments area. I will first cover the key highlights in 2025 and with this IK Partners mandate I mentioned earlier, which went effectively in operations on January 1, 2026. So from now on, all the past controlled private investments and the future investments in the controlled private equity made on Wendel balance sheet will be managed by the IK Partners team, which sits in the IK Partners ecosystem, and so we'll benefit from the expertise and resources of IK Partners, which we believe is going to be very helpful to create more value for the group. We also have been very active in 2025, including some leadership changes at Scalian, William Rozé joined us from Capgemini with a very strong experience in the industry. And we had as well a new CFO during the year. So a strong change of leadership at Scalian. At CPI, the long tenure CEO, Tony Jace, retired during the year, and Andee Harris joined as well during the summer. She's bringing a very strong tech and commercial background, which is exactly what CPI needs today. In 2025, we also invested roughly EUR 100 million in Scalian, both to support the M&A strategy and to strengthen the balance sheet. As I mentioned earlier, in 2025, we secured the public to private of Tarkett and Tarkett became a private company in late December 2025. We've been very active in our portfolio companies and financed 16 bolt-on acquisitions, 1 at Scalian, Tarkett and CPI each and 4 for Globeducate, which has been pretty active and 9 at Bureau Veritas. So a very active year for our portfolio companies. Last, I remind you the 2 disposals of shares that happened at Bureau Veritas in 2025 in March and September. And those gains flow through our balance sheet and not in our P&L, and Benoit will come back to that later in the presentation. I'm turning now to Page 20, where we are going to come back to the sales of Stahl and IHS and give you more details. So as I mentioned, the Stahl sale is expected to bring EUR 1.2 billion of proceeds to Wendel. This sale at EUR 2.1 billion enterprise value was secured with a 20% premium above the latest NAV published in Q3 2025. And it did generate a return above 15% per annum over the last 20 years. So a strong 6.6% cash-on-cash return when you include the previous dividends that we had over the years. So a very good return over a very long period. Beyond the financial results, on the right side, we wanted to give you a bit more insight on the value creation that happened on this investment. You can see that the revenues grew nicely over this period. The EBITDA grew actually at a higher pace because we increased the margin quite significantly over the years with a strong control of cost and some operational leverage, which was combined with an upscaling of our product portfolio where we moved to higher-margin products over the years. It has been a very thoughtful process to reposition Stahl to a more attractive asset under the leadership of Maarten Heijbroek. We -- over the last few years, we made some strategic acquisition in the specialty coatings business to make the company more attractive with the higher growth prospects. And at the same time, we worked on the carve-out of the wet-end business, now which is called Muno that is going to stay under our Wendel portfolio, which is having different market dynamics, and we thought will be not as attractive as the rest of the portfolio to potential buyers. So we've been quite active, and we are very pleased with the results that you can see here. I'm moving now to Slide 21 to give you some insight as well on our investment in IHS, which has been a long-term hold as well, slightly shorter because the initial investment was in 2013, but still 13 years is quite a long investment. This is our last investment in Africa. So we are closing this chapter with this sale. We expect $535 million of net proceeds, which is around 21% above the NAV that we used for this stake in Q3 2025. It is a 0.7 cash-on-cash net multiples for this investment. The financial return is not showing the actual operating performance that you can see on the right side because IHS has been a very strong organic growth and M&A growth success. We multiply by 10 the sales and by 21 the EBITDA. But this is not showing up in terms of financial return because we did suffer both from a volatile FX environment in naira, which is the main currency in Nigeria, was devaluated over 8x over that period. So that did impact us quite significantly. And the Towers business industry did suffer some strong derating as well. So the combination of an industry derating and FX actually made this growth story in terms of operational success, less attractive in terms of financial outcome, as you can see on the left side. I'm now going to cover on Page 22 and 23 the results of our listed assets and private asset portfolio. In the listed assets, I'm only going to comment on Bureau Veritas because once again, Tarkett is now in private assets, and we don't consolidate IHS. Bureau Veritas just announced its results yesterday. They published some strong results. You can see with some good organic growth, plus 6.5% and some improvement in the margin. So we are quite happy with those results. In terms of 2026 guidelines, we expect the results to be fully in line with the LEAP 21 -- sorry, the LEAP28 strategic plan. You can also see here that Bureau Veritas did announce a new EUR 200 million share buyback program yesterday as well, which is going to be completed over the year. Moving to Slide 23 to give you more details on the performance of our private assets, and I will be starting with ACAMS. ACAMS had a very good year last year. As you remember, in 2024, we made some significant investments, both in terms of talent, in terms of technology, and we can see that in 2025, we can see some early results of those changes. Both the top line were very strong. The margins were strong as well. And we did a refinancing as well of ACAMS at the end of the year. So we secured a longer maturity for the debt and a lower financial interest expenses as well. So across the board, it was a very good year for ACAMS. CPI had a soft year in 2025. We were used to much higher growth rate in the past, plus 2% in terms of sales, plus 2% in terms of EBITDA. It's mainly in the U.S. where we saw some softness. The rest of the portfolio had some good growth. But in the U.S., there was a lot of uncertainty in the federal budget, both for health care and education customers, and that did impact the company growth profile. Regarding Globeducate, you can see that the company has grew nicely in 2025. It's a combination of both on organic growth, the enrollment in terms of students and pricing, but also in terms of M&A, as I mentioned earlier, we did some acquisition in Cyprus, in the U.K. during the year. And so the company is on track to deliver some good growth in 2026 as well. Scalian had a tough year in 2025. It's a tale of 2 stories. We had some good resilience for the large accounts and for the core markets where Scalian is a very strong niche player, namely the aerospace, defense, energy and financial service industries. But at the same time, we did had a lot of softness in our smaller accounts and IT accounts, which did suffer from a market pullback. And so the combination is this minus 5.1% in terms of sales. The company had some fixed cost basis. So the EBITDA reduced by 8.2%. In 2026, we believe we're going to see a stronger growth from those large accounts and in our core markets. We are going to work to have those IT customers to decline at a lower level. So we expect some sort of stability. And we have some strong program to reorganize the business to improve our margins. So we expect to have a different trend in 2026. You can see that Tarkett had a year with some margin improvement, and we were happy to see a plus 4% growth in terms of EBITDA. On Slide 24 and 25, we wanted to quickly show you how the portfolio of Principal Investments is changing if we include the pro forma sale of IHS and Stahl, which are ongoing. So on 24, you can see the -- what we showed you at the Investor Day actualized with December 31, 2025. So this is a slide that you know. But interestingly, on Slide 25, we did the same description of our portfolio, assuming IHS and Scalian are sold and with the newcomer Muno, which is the name of the wet-end business of Stahl that we're going to keep. What you can see is that the industrial part of our portfolio is shrinking down to 5% and the business services part of our portfolio, Scalian and Bureau Veritas is growing in due proportion. So the principal investments, including those 2 asset disposals is down to EUR 3.9 billion in terms of gross asset values and with a more balanced education, training and tech on one side and business services sector exposure on the other side. So we thought it will be an interesting view for you. I'm going to turn the mic now to Benoit Drillaud to present you the financial results of 2025.
Benoit Drillaud: Good morning. I'll start the presentation of the P&L with 2 significant profits that are not booked in the P&L. The first one relates to 2 significant events of 2025 in the development of our strategy, the forward sale of Bureau Veritas shares and the block sale of Bureau Veritas shares in September. They have translated in a profit of EUR 980 million booked in the equity, close to EUR 1 billion booked in the equity. And the second profit is the change in fair value of IHS. The share price of this company has doubled over the year and it has been booked in the equity. So EUR 1.2 billion booked directly in the equity in accordance with the applicable accounting principle. If we go through the detail of our P&L, you can see that Monroe has strongly contributed to the asset management platform from EUR 42 million that was 8 months of IK to EUR 127 million, 12 months of IK plus 9 months of Monroe. The contribution from the WPI portfolio is decreasing a little bit with the earnings of Stahl and Scalian. The operating expenses and taxes have decreased by 9%, demonstrating the good cost control. Last year, we benefited from a very exceptional level of income from cash and cash equivalent because the money market rates were close to 4%. And in 2025, they were a little bit above 2%. So this explained the level of the financial income in 2024. In 2025, it's more balanced. So globally, the net income from operations that is the most meaningful aggregate for Wendel is stable at EUR 753 million. Same in group share is lower because of the earnings of Stahl and Scalian and because the percentage of interest in the net income of Bureau Veritas is lower at the beginning of 2024, the percentage of interest was close to 35%. And at the end of 2025, this percentage was 15% with the 2 block sales we made in 2024 and 2025 and the forward sale. The nonrecurring cost mainly come from the portfolio companies with restructuring costs, M&A cost, the cost of the disposal project of Stahl, the carve-out cost of Muno. And last year, we had the very significant capital gain on Constantia. The impact from the acquisition entries have increased because we had the acquisition of IK last year. We had the acquisition of Globeducate of Monroe. So these acquisitions explain why this cost -- this accounting expenses have increased. And concerning the impairment, we have in 2025, the loss that Scalian booked in June. And we also have the reversal of the depreciation we had on Tarkett because the share price went from EUR 14, if I remember well, to the squeeze out price that was EUR 17. So the total net income is EUR 345 million. The net income group share is a loss of EUR 152 million, but if we take into account the 2 significant positive entries in the equity, we have a level of equity group shares that increased from EUR 3.2 billion to EUR 3.5 billion in 2025. If we turn to the following page, the Page 28, you have here the 3 main components of our very strong financial structure. First, liquidity with EUR 2.2 billion of cash and the undrawn credit line. You have, of course, the LTV ratio that is below 10%, well below the S&P ceiling for our current rating. And you have a very long maturity profile of our bonds after we'll have repaid in the next weeks, the exchangeable bonds and the 2026 bonds that are coming to maturity. So I now leave the floor to our CEO, Laurent Mignon, for the conclusion.
Laurent Mignon: Thank you, [ Michiels ]. Thank you, Benoit. Thank you, David and Cyril. Just one point to add on that and then I'll make the conclusion. The LTV, the 9.6% include the pro forma of the share buyback that we have announced today. So it's a fully -- it's full. So what can we take away from this presentation? A very strong and tangible execution of what we have announced in December for the Investor Day. We've said at that time that we will do EUR 7 billion of asset sale and cash flow generation cumulated by 2030. We already have made 27% of that through the sale of Stahl and IHS in February this year. We've said that WIM will represent 50% -- more than 50% of the Wendel GAV, excluding cash by 2030. We are already at 38%, including the acquisition, obviously, of Committed Advisors. And we've said that we will return EUR 1.6 billion to shareholders. We're going to return in '26 more than EUR 500 million to our shareholders through the dividend and the share buyback. So I think that we have strong headroom for new investment and continue to move on our strategy, create some value by creating capital appreciation through WPI and create long-term value and recurring cash flow through the development of WIM, where we think we have a good way forward with a 15% potential growth per year, and a good development altogether, and that will be in line exactly with what we said, I think, in December, and that's it. So I think we are all here to answer your question, and I pass over to the moderator or to Olivier in order to decide how to organize the Q&A session. Thank you.
Operator: [Operator Instructions] We will now take the first question from the line of Geoffroy Michalet from ODDO BHF.
Geoffroy Michalet: I have one question is what is -- what will be your criteria of your, let's say, [indiscernible] before deciding any new investment in WPI or in WIM? What will be the trigger?
Laurent Mignon: Well, thank you for the question. Well, first of all, we have a lot of headroom as we mentioned and as evidenced by our LTV. So the criteria, we would say that we will be investing, and I think that was presented during the Investor Day, the equivalent of, let's say, EUR 300 million plus per year in the WPI, and then we will make potentially more -- some investment in the WIM. So we're -- together with the mandate that we've given with IK, so with the IK teams, we're constantly looking to opportunity to invest in WPI. Our objective when we do this type of transaction is to make a transaction that we can generate 12% to 15%, let's say, 15% of targeted return on those investments with a view of investing it at least for 5 years and potentially for more if the asset is great and we want to keep it longer, which is a little bit of our characteristic. So we're reviewing the different thing. My priority in 2026 concerning WIM is to continue building the platform. We've done a lot already, but we are working on building the platform more. And we have, as was, I think, clearly explained by Cyril, we have a lot of internal growth objectives being product, being geography, for example, for Monroe, being a product for IK. And we've got for Monroe also of being the fundraising activity of Committed Advisors that is starting a new fundraising activity has already started a new fundraising activity. So our priority is to do that, create more -- a little bit more of the sales organization, develop that, develop the -- as was said by Cyril, the retail development. So that's really our top priority. However, if we see a good opportunity, we'll look at it. We have the headroom to do it. But my priority is the one I mentioned to you. So on WPI, to make it simple, we constantly look to opportunities and we'll take benefit of the ability of the IT teams to bring us good opportunities to make some investment. And on the other side, we'll first give the priority to internal development. If we see a great opportunity that fill the expertise needs that we have, we'll look at it.
Operator: [Operator Instructions] We will now take the next question from the line of Alexandre Gerard from CIC CIB.
Alexandre Gérard: I have 3 questions. So the first one is related to ACAMS and CPI. I just wanted to know to what extent AI might be a threat for the business model of these 2 companies. So that's my first question. Second question, it's a question related to the Scalian and the valuation of Scalian in your latest NAV. There are similar top-notch listed assets trading on 5 or 4x -- 4x EBITDA and Scalian is also very leveraged. So I just wanted to know to what extent you've been very conservative on the valuation of that asset. And the last question is related to private credit, of course, regarding the current bad buzz around that asset class. How can you be so confident that the bad buzz will not have any short-term impact on fundraisings or withdrawals?
Laurent Mignon: Well, thank you for the 3 questions. I will start and Cyril will help me complement the last one. I will take the second one also. And probably, David, you will take the one on ACAMS and CPI. So I mean, those questions are absolutely relevant and crucial question. I'll start with the easiest one because it's the most factual, which is the Scalian valuation. Scalian is, as you can see on page whatever it is, Page 24, Scalian is based on listed peers multiple. So I think the fact that listed peer multiples are trading at lower multiple, we've taken that into account in valuing Scalian. I think that the profit we've been making on -- I mean, the up value in -- we've been making by selling Stahl show you that we have a conservative approach to the valuation. And we take comparable and when the comparable move down, that affects the thing. So Scalian, the value of Scalian since we bought it has had 2 negative impact, the negative impact linked to the EBITDA, which went down and two, obviously, the multiple. So yes, we take that -- we think that there is -- this is a period of the cycle. We think that the future is much brighter. But yes, we are working on the underlying asset, and we're pretty sure that the actions we're taking are the right one in order to valuate in long term. So -- but we are taking not a long-term value. It's listed peers value, if I answer well to that. The second one is private credit. A lot of noise about private credit. By the way, let me remind you something, which I think I said during the Investor Day, but I want to say it again, is credit is not a free lunch. I mean, doing credit means risk and everybody knows about it. You're getting a return for the credit, so you need to have some risk, and it's the next banker that talks to you. So we know that. However, we feel that the way Monroe do it business is a relatively good risk/return reward way to do the credit. They're doing that to lower middle market companies in the U.S., very much linked to the U.S. economy. I don't think they're doing so -- and the way they process, I think I already said that here in this audience about the way they do origination, underwriting and so on is a way to have the most professional approach to private credit. They've been in the market for 20 years. And their performance today are good. We see some element of -- you've got -- sometimes you've got bad news. But overall, the performance of the private credit sales is good because it's a portfolio. It's a very diversified portfolio also. They're doing more than per fund. Cyril, correct me if I'm wrong, but it's more than 100 lines per fund...
Cyril Marie: Exactly.
Laurent Mignon: That they have. So this is the basic. They have no concentration in sectors. They've got no concentration in lines in -- so they are diversifying, which I think is a very important element of the performance. The only element of concentration that they have is that they are on the lower middle market part of the U.S. industry, which, in fact, reflect the health of the U.S. industry, which is good, in fact. So that's why we are confident. There is bad buzz. So it is true that we see less natural inflows on the retail part because people are reading press and say, well, can we -- but we first see a lot of confidence and gaining new mandates on the institutional part with very sophisticated investors that do understand the business and are very confident in the skills of Monroe and are putting more Monroe to be managed by -- more money to be managed by Monroe. And on the retail side, we think that as long as the performance will be correct, we see less strong inflows, but we still see inflows. So it is -- I think it's -- we have to just go through that period of bad buzz, as you mentioned. And then it goes from bad buzz to specific. And whenever you go to specific, then it's fine. Cyril, do I have to -- do you want to add something to what I said on that?
Cyril Marie: No, no, it's, okay to me.
Laurent Mignon: I was clear. Okay. AI, and then I will leave the floor to David on that because we've worked a lot. I mean, AI is a big disruption in the market everywhere. Everybody is starting to say how much AI is impacting our business model. And obviously, we have the discussion with all our investment company. This is specifically the case for ACAMS and CPI. You want to say a word, David?
David Darmon: Yes. Alexandre, before I answer directly your question on the threats from AI, just a quick word on the opportunities from AI because we do believe we -- there's a lot of upside on specifically on those 2 companies. We are working quite actively, especially on ACAMS to develop a new product, a new AI product, which we believe it could be very valuable to our customers, producing and giving access to the 150,000 pieces of proprietary content that we have in a very attractive way. So we are developing a very strong and attractive product. It's probably going to have an impact on the cost base to produce our content in terms of translation, delivery, organizing the travels for the trainers, for instance, for CPI. So there is still a lot of good positives to come from AI. But back to your question on the threats and how we believe that we have some boots here and to protect those businesses. I would say both of them have -- are regulated businesses and in most places, are mandatory by the regulators, it could be the state for CPI. It could be the financial supervisors for ACAMS. That's not something that you can shift, and if the regulator is asking you to have some CAM certified people or to have people trained by CPI. You can't answer, well, I pay like a Copilot license to my team. This is not going to work for the regulators. Two, the importance of the brand, ACAMS and CPI by far are the leaders in their industry with very, very strong market share and they are the references, and that's a very strong moat. Then each of them have some specific barriers. And ACAMS, remember, this is a certification business and a body which deliver a CAM certification. So that's pretty unique. And ACAMS is really based on assemblies and community, those anti-money laundering specialists. They gather together, obviously, in trade shows, but also in local assemblies that ACAMS organize and that's really unique. And CPI has a different barrier, which is the physical part of the training for roughly half of the sales of CPI. You need to have a physical presence to deliver the training. So there will no way to get understanding on how to restrain an agitated patient or students purely online. You need to have the physical training. So I know it's a long answer, and we're really, as Laurent was saying, putting a lot of efforts to understand the implication and there will be implication. But so far, we believe that the positive are going to be above the negative on those 2 assets.
Operator: There are no further questions on the phone at this time. I would like to hand back over to Olivier Allot for webcast questions.
Olivier Allot: We have 2 questions about shareholder return. Will the shares repurchased through the share buyback be canceled?
Laurent Mignon: For the time being, we've said that we will allocate those shares to potentially pay the potential further paid of the puts and calls that we have in IK or be in front of the long-term incentive plan that is regularly given to the management, but it can be canceled. It's not a decision taken for the time being. We just announced before we do that late December that we've canceled how much -- how many shares did we cancel in late December, Benoit, I think 3.5%, 4% of the company.
Benoit Drillaud: Yes.
Laurent Mignon: 4%?
Benoit Drillaud: Yes.
Laurent Mignon: So we'll review. We do the share buyback, we see and then we'll make cancellation of shares whenever we need in order to give us more headroom to do share buybacks.
Olivier Allot: Thank you. A question about the dividend. Just for the sake of clarity, should we expect EUR 3.6 of dividend to be paid in May and EUR 2.55 of interim dividend in November?
Laurent Mignon: Well, this -- the EUR 3.6, everything will be related to the approval by the shareholder meeting, which is in May. I don't expect to have non approval. But should it agree with the EUR 5.1 dividend that we have announced that we're proposing, out of the EUR 5.1, EUR 1.5 has been paid. So the remaining EUR 3.6 will be paid then just after the AGM. And as I announced, we will pay 50% as an account interim dividend we will pay in November 50% of the dividend of 2025, which is EUR 5.1, which effectively make EUR 2.55, which then will be in payment somewhere in November. So the answer is -- long answer to say yes.
Olivier Allot: Question about WPI. For how long time, do you expect to keep your shares in Bureau Veritas and the other larger unlisted assets?
Laurent Mignon: Well, thank you. The question is when we invest in companies is because we want to create some value, and once we feel that our -- I mean, we have created the value we wanted and that we have to pass the company needs other means to do it, we pass it. So that's what happened for Stahl, for example. We've been Stahl for many years. So if I take the other unlisted assets, the -- as I mentioned, we always have an objective at 5 years. And after 5 years, we reassess the position to know whether we want to keep it or we want to sell it depending on what we see as a perspective. Bureau Veritas is a bit of a -- so it's really what we will do for the same for Scalian, for CPI, for ACAMS, for Globeducate or for Tarkett. The situation is for Bureau Veritas. We've been a shareholder for now 30 years. We've listed the company. Now the company is listed, and we have sold some of our shares during the last 2 or 3 years -- the last 3 years based on the fact that the exposure that we had not based on the fact that we didn't like the value creation potential of Bureau Veritas but the fact that the size of the concentration of Bureau Veritas was too high compared to their own portfolio and that we need to rebalance and use that to develop our new strategy, which is to develop the asset management strategy. Today, we've done more or so. So the question is only to know do we -- are we confident or not in the perspective of Bureau Veritas. And we are confident. So for time being, we are a happy shareholder of Bureau Veritas. And we will only reduce our shares into it. Whenever we feel that the value we have in mind is achieved. But for the same being, we think that the LEAP28 plan has a strong tailwind and that the team is doing a great job and that we can create more value with Bureau Veritas than the current share price today.
Olivier Allot: A technical question about Stahl consolidation. Was it 100% consolidated into Wendel's account in 2025? Can you share the 2025 sales EBITDA and usual information you publish about the company? And can you do the same about Muno?
Laurent Mignon: I think it's -- Benoit, you will confirm, we are on IFRS 5 now, So it's a discontinued activities?
Benoit Drillaud: Yes. So it's consolidated, but classified under a specific account, but it's consolidated.
Olivier Allot: What is Monroe exposure to software investment? Have you seen any drop off in flows into private credit focused wealth product, which has been quite clearly among the scaled U.S. players?
Laurent Mignon: Well, I can leave Cyril to say that. I think I already answered partially to that. But Cyril, if you want to take that?
Cyril Marie: No, no. Yes, for sure. Monroe is exposed to the software industry. If you look at -- it depends on the strategies and the various vehicles. But keep in mind that what they do, it's -- they do -- they are focused on the lower mid-market. So their companies are between EUR 20 million and EUR 50 million maximum of EBITDA. So most of their exposure to the digitalization of the U.S. economy is tied to businesses close to the firm to support the digitalization of the industry, the health segment. So for sure, as David said, in AI, you have challenges and opportunities, but we do believe that Monroe is very well positioned to go through that. And there is a risk and opportunities and the team, the underwriting team is really focused on that. They are always reassessing their exposure to software in order to be sure that they monitor their exposure. And the second question regarding the inflows, as I said, there was some reduction of the inflows on the BDCs, MCIP, the main one, but it's still -- we are still seeing inflows. And we do believe that over the long term, the allocation of private market for retirees and the 401(k), et cetera, will increase. For sure, it's a bumpy road because there was some noise now. But over the long term, we do believe that the potential is there in Europe and in the U.S.
Laurent Mignon: But to rephrase what Cyril said, they don't have a specific tweaks to software and so on. So they have software, not more or less globally the market. Am I right saying so, Cyril?
Cyril Marie: Yes, yes, for sure. Yes.
Laurent Mignon: Yes. Just to be clear on that.
Olivier Allot: We have a question about the execution of the share buyback. How the share buyback program will be executed, is there a certain percentage of traded volume that will be bought every day on the market? Or will it be more opportunistic?
Laurent Mignon: I think -- I don't know what I can say. We will give a mandate to a bank that will execute that. And I think they will have -- they will execute that on a daily basis based on the mandate. So once we've given the mandate, it's not us doing it. They have a time frame, which is the end of the year. They have the amount, and they will execute that by respecting the rules of the AMF and whatever are the rules to be respected. So that's how it will be done. So it's -- am I saying it the right way, Benoit?
Benoit Drillaud: Absolutely.
Laurent Mignon: Good. Good. But basically, it's an everyday business. It's not like buying one day and be off the market. It's -- they have -- but again, we will not be interfering into that. We've given a mandate to buy that to a bank, and that will be executed by the bank following the rules as a mandate from us. The mandate will be starting tomorrow morning.
Olivier Allot: A question about the discount to NAV. How do you explain the wide discount on the NAV? Is there any specific reaction to Wendel management and track record?
Laurent Mignon: Sorry, I don't understand. Is there any -- you mean -- do we do well our job? I don't know. We're trying to change the company, make it evolve. I think there are severe discount to NAV to any other investment capital heavy firms that is publishing an NAV. Is the NAV the right way to look at us? Probably not because we are becoming more and more an asset management company. So we have to think about whether this is the right way to think about us because now the asset management is representing 38% of our total business, and it's not here up to sell. So it's a different approach. It's a long-term business and should be valued on the flows. So we have to think about the way we do it. Now -- each time I see somebody, he gives me a different reason from the discount to NAV, too much concentration on one stock, then it's too much listed assets, then it's too much nonlisted assets. So the other one is the value of listed, nonlisted assets is unclear, so people make discounts. So the others -- again, what we are trying is not to focus on that. We focus on long term. We focus on value creation. We want to demonstrate that we will create value through the WPI strategy and for sure that we are creating a lot of value by the WIM strategy. The growth will be there, return will be there. Return to shareholders through dividend will be there, again, and through share buyback. So we've been very clear about where we want to go during the Investor Day, and we'll execute on what we say. And I think that the first 1.5 months of this year '26 show that when we say we will execute is that we are doing it.
Olivier Allot: No more question on the web, but we turn back to question by phone. Operator, please?
Operator: We have 1 more question on the line from Alexandre Gerard from CIC CIB.
Alexandre Gérard: Yes, 2 follow-up questions, please. The first one on Tarkett. I mean, can you remind us what are your liquidity options on that investment? Could you trigger any put option? Or are you stuck with that stake for the long term. Second question also, it's on the FX impact on your NAV year-on-year. What was -- can you remind us what was the negative impact linked to the depreciation of the USD on your NAV?
Laurent Mignon: So I'll leave that last one to Benoit. I think the impact of dollar because it's a dollar depreciation was quite [ null ] on the fourth quarter, but the full year, Benoit will give you the answer. For Tarkett, well, we are a minority investor in Tarkett alongside a family. So we're working with the family on improving the company making better developing the sports business in the U.S. -- well, not only in the U.S., but globally, improving the metrics of the company in terms of efficiency and a lot of work has been done in 2025. So we feel that Tarkett and the company and the family together with us is doing a good job. We have -- it is clear for them that we are here for -- to be on their side and to help them developing the thing and that one day we will need to find an exit, there is a clear agreement with them. I don't have to comment the legal environment to that, but I'm pretty sure that everybody, once we finalize the value creation plan that is ongoing and ongoing, we will be in a position to exit our participation in good conditions. Benoit, you have...
Benoit Drillaud: Yes. The depreciation of the dollar resulted in a decrease of EUR 6.9 per share between the end of 2024 and the end of 2025, EUR 6.9.
Operator: There are no further questions at this time. I would like to hand back over to the speakers for closing remarks.
Laurent Mignon: Well, no, thank you very much. Not much in fact, in this. Most of what we're saying was already there. But the point I want to really stress is that we are on the move, and we're doing what we -- we are saying what we do and we're doing what we say. That's very important. And we have a lot of further things to do in '26. We're very optimistic about creating value there. And thank you for being with us today, and we'll meet you soon.
David Darmon: Thank you, everyone.
Laurent Mignon: Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.